Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Twenty-First Century Fox First Quarter 2014 Earnings Release. [Operator Instructions] And as a reminder, today's conference is being recorded. I'd now like to turn the conference over to Reed Nolte, Senior Vice President, Investor Relations, News Corporation.
Reed Nolte: Thank you very much, operator. Hello, everyone, and welcome to our First Quarter Fiscal 2014 Earnings Conference Call. On the call today are Chase Carey, President and Chief Operating Officer; James Murdoch, Deputy Chief Operating Officer; and John Nallen, our Chief Financial Officer. First, we will give some prepared remarks on the most recent quarter, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to Twenty-First Century Fox's business and strategies. Actual results could differ materially from what is said. The company's Form 10-Q for the 3 months ended September 30, 2013, identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements. The definition of and the reconciliation of such measures can be found in our earnings release and our 10-Q filing. Please note that certain financial measures used in this call, such as segment operating income before depreciation and amortization, often referred to as EBITDA, and adjusted earnings per share, are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. Finally, also note that the historical results for periods prior to June 28, 2013, described in the press release and on this call have been adjusted to reflect the separation that was completed at the end of fiscal 2013. And with that, I'm pleased to turn over to John.
John P. Nallen: Thanks, Reed, and good afternoon, everyone. As you have seen in today's earnings release, our financial results continue to reflect strong top line revenue growth. We reported first quarter fiscal 2014 revenues for the total company of $7.06 billion, which is up 18% compared to the first quarter a year ago. This growth reflects both the inclusion of revenues from newly consolidated businesses, such as Sky Deutschland and our new international cable sports channels, as well as overall organic revenue growth, which was up in the high-single digits. Total segment EBITDA for the first quarter was $1.62 billion, a 2% increase over the $1.59 billion reported in the first quarter a year ago. This increase was led by our DBS and Television segments, partially offset by a challenging film comparison and by slightly lower cable network contributions, which reflected the anticipated investment in launching our new cable channels. Additionally, unfavorable foreign exchange movements reduced our total reported EBITDA by 2%. You will also note that our depreciation and amortization expense in the quarter of $313 million is up $139 million from the first quarter a year ago. This increase is almost entirely due to the consolidation of Sky Deutschland and the related acquisition amortization expense of approximately $100 million. Nearly 2/3 of this Sky D amortization expense results from a onetime cumulative impact as we move toward finalizing the purchase price allocation by the third quarter. Going forward, we expect Sky D related amortization to run at approximately $30 million per quarter. From a bottom line perspective, we reported income from continuing operations attributable to stockholders of $768 million as compared to $2.25 billion reported the first quarter a year ago. Last year's quarterly results included $1.37 billion of income in other net, principally related to the gain on the sale of our ownership stake in NDS. Excluding the net income effects in both years of amounts reflected in other net, in impairment charges and the gains from participating in BSkyB's share repurchase program, first quarter adjusted earnings per share were $0.33 this year versus $0.38 in the prior year. Now let me provide some additional context on the performance of a few of our businesses, and let's start with the Cable Networks. Overall, total segment revenues increased 12% from last year, highlighted by a 17% increase in affiliate revenues and 11% advertising growth. The 17% affiliate revenue growth was led by higher rates across our channels. Domestic affiliate fees increased 10%, primarily from higher average rates led by the RSNs, FX and FOX News. Our reported international affiliate fees were up 40%. Within this overall increase, affiliate fees at the non-sports channels, at FIC and at STAR, grew 19% in local currency terms. The balance of the affiliate fee increase was from the international sports channels, led by this year's inclusion of ESS, Star Sports, EMM and Fox Sports Italy, which was partially offset by the unfavorable foreign exchange impact. First quarter advertising revenue growth was led by a 21% increase at the international channels, which reflected an approximate 20% local currency increase at the FIC and STAR non-sports channels. The increase in ad revenues related to the international sports channels was fully offset by the negative impact from unfavorable foreign currency movements. Domestic advertising increased 6%, reflecting double-digit gains at FX and the RSNs, partially offset by political advertising declines at FOX News. As anticipated, this quarter's EBITDA results at the cable segment reflected the commencement of the investments we are making in our new channel launches, as well as the impact of unfavorable foreign currency comparisons. As a result, total segment EBITDA in the quarter of $991 million declined 2% from year-ago levels. We had continued strong EBITDA growth from the RSNs, FOX News, FOX Business, National Geographic and our international channels. This growth was more than offset by the impact of the investments in the new domestic channel launches, a 3% negative impact from foreign currency movement and the absence of prior year distributor credits. Combined, all of these factors impacted year-on-year comparisons by a bit over $100 million, with the new domestic channel launches alone representing around a $50 million impact. In addition, we had increased programming and marketing costs at FX related to the launch of new series. At our Television segment, EBITDA in the quarter of $231 million increased 30% over the first quarter largely due to a doubling of retransmission revenues. Total segment ad revenues were similar to a year ago as the benefit from higher sports ratings and ad pricing was offset by lower general entertainment ratings and reduced political revenues at the stations. At our Film segment, first quarter EBITDA was $328 million, down 24% from a year ago. While we are pleased with the hit releases impacting the quarter, including The Wolverine and The Heat, we did not have a comparable film to last year's extraordinarily successful release of Ice Age: Continental Drift. Revenues and EBITDA contributions at our Television production units were up year-over-year, primarily due to Modern Family entering domestic syndication and the sale of the first 2 seasons of New Girl to Netflix. Our DBS segment reported EBITDA of $190 million in the quarter as compared to $95 million in the prior year quarter. This increase reflects a nearly $60 million improvement at SKY Italia, driven by the absence of costs associated with last year's London Olympics broadcast. It also reflects the impact from the consolidation of Sky Deutschland's positive EBITDA results. Total revenues at the segment increased by $562 million, principally reflecting the inclusion of $520 million in Sky Deutschland's revenues. Sky D reported ARPU gains of 6% and a year-over-year direct subscriber increase of 317,000. At SKY Italia, local currency revenues in the quarter were similar to a year ago as the 2% ARPU increase was offset by lower average subs for the period. Quarter-end subscribers of 4.76 million were unchanged from the end of June Now before I turn to guidance, let me make just a couple of comments related to our capital structure. We ended the quarter with $6.7 billion in cash and $17.5 billion in gross debt. This debt position reflects the issuance of $1 billion of new long-term debt during the quarter, recognizing that we have approximately $900 million of scheduled debt maturities in calendar 2014. Related to the stock buyback, since the date of the separation, we have been consistently repurchasing FOXA shares, resulting in approximately $1.3 billion of repurchases from July 1 through today. We are on pace to complete the $4 billion buyback within the 12-month time frame we previously announced. And let me finally address our guidance update for fiscal 2014. Chase will provide more commentary a moment -- in a moment around our businesses. And while we have 1 quarter under our belt, it's still quite early in our fiscal year. However, based on all of the assumptions inherent in our current projections, we continue to expect that our total segment EBITDA percentage growth rate for fiscal 2014 will be in the high-single to low-double-digit range, above the $6.2 billion total segment EBITDA base level of fiscal 2013. And now let me turn the call over to Chase.
Chase Carey: Thanks, John. There's only been a few months since we outlined our objectives and strategies for our business at our Investor Day in August, yet we're more excited than ever about our future. We're on plan in building the foundation for sustainable long-term growth and are on course overall to meet our financial targets for this year. The highlight of our last quarter was the successful launch of our 2 new U.S. networks, Fox Sports 1 and FXX. Our short-term priority was establishing the distribution base from which we can grow ratings and subscriber revenue, and we exceeded our targets in launching FS 1 and FXX to 90 million and 72 million homes, respectively. Our initial ratings have been mixed, with success in certain places, particularly with established events and programs. These new channels generated ratings that are a multiple of their predecessors. However, programming schedules are clearly a work in progress. We knew going in that building these networks would take a few years, not months, and many of our signature events and programs are yet to be launched. At our more established U.S. cable networks, results were in line with our plans. We had strong results in areas like our Regional Sports Networks, where other -- while others, like FOX News, although it's dominate as ever, competitively, faced expected year-on-year headwind comparisons due to 2012 political spending. It was actually a relatively quiet quarter for our established networks as we prioritized the new channel launches. The last month has been busier with an array of initiatives. FOX News launched a new primetime lineup, live new structure and hosts on our morning show, with great early results. For example, primetime ratings in the first 2 weeks of the new lineup are up north of 20% in both demos and overall. FX launched new seasons of Sons of Anarchy and American Horror Story to record ratings. National Geographic channel has a number of specials and series launches, such as Killing Kennedy, scheduled for this month. Internationally, we continue to expand, launching new sports channels in Italy and The Netherlands, bringing the total reach of FOX Sports outside of the U.S. to 75 million homes. Last month, we announced the groundbreaking multiyear rights agreement with the German Bundesliga, one of the world's premier soccer leagues. This agreement is a testament to the strength of our global portfolio of channels and our unique ability to reach every corner of the globe. Overall, our international channels continue to execute well and are on target in spite of some economic headwinds in southern Europe and the adverse consequences of the strong dollar. We continue to be very enthusiastic about the long-term growth potential of our international businesses and believe they are better positioned competitively than ever before. In our broadcast business, our results have been mixed this fall. On the positive side, we continue to build a dual-revenue stream business through both retransmission and reverse compensation with our affiliates. Sports has been a strength, and we're excited about the start of our new drama, Sleepy Hollow, and believe a few of our new comedies show promise. On the flip side, the ratings of a number of returning franchises have been below our expectations. With our new focus on year-round programming, we're in the early part of the broadcast season, and we look forward to new series like Almost Human, which premieres in 2 weeks, as well as the return of American Idol in January and event series like COSMOS and 24 later in the year. The advertising market trends continue to be solid, scatter is being sold at double-digit pricing to the upfront for broadcast and scatter pricing for cable networks like FX is even stronger. The local ad market finished the September quarter up mid-single digits, excluding politicals and Olympics, and is also up a bit excluding politicals for the December quarter. Our stations successfully launched Modern Family in syndication in September, and our newest station, Charlotte, is already ahead of our targets. Our studios continue to look to take advantage of the global demand for content, particularly at our television studio. 20th Century Fox Television and its sibling studios are producing 40 series for 16 networks this season, including series like Modern Family, Homeland, American Horror Story and How I Met Your Mother, which were all Emmy award winners this year. Our film studio has been a bit more up and down to start the year, however, we're excited about holiday releases, like Walking With Dinosaurs and The Secret Life of Walter Mitty, and releases in the second half of the year, including Rio 2 and X-Men: Days of Future Past. At our distribution platform businesses, our goals are to grow market share through premium content, technology leadership and superior customer service. In Italy, we're executing our plan to rightsize SKY Italia's cost structure and believe we're stabilizing subscriber base in spite of an Italian economy that continues to struggle. In Germany, Sky Deutschland announced its results this morning, with another solid quarter that maintains the growth of recent quarters as further proof that this business is succeeding in Europe's dominant economy. We're also really pleased about the appointment of Mike Hopkins as the new CEO of Hulu. I can't think of a better executive to lead Hulu's exciting future. Bottom line, we feel good about the momentum of our business. We have a few soft spots to address, but that is always the reality of our business. We're excited about the future and look forward to taking our business to the targets we outlined in August. With that, we're happy to take your questions.
Reed Nolte: Operator, can we go to taking questions from the investment community now, please.
Operator: [Operator Instructions] Our first question comes from the line of David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: The strength in television was a little bit more than I would have expected, and I'm wondering were there any major kind of step-ups in retransmission consent agreements that kicked in or reverse-comp deals for that matter? And can you give us -- maybe without even naming the distributors but in terms of timing for the next year, are there any other major step-ups sort of coming this year that you can see?
Chase Carey: Yes. I mean I definitely don't want to get into agreements name by name. Certainly, in the last 12 months, we certainly have 1 large agreement that would have been material, really, to an array of networks certainly -- I get you're talking to broadcast segments, certainly to retransmission. I think the affiliates are a bit more ongoing. I think we said before, we're pretty well through the retransmission really at this point. We did have one large one that we got done this calendar year. We have a couple more left and almost will come around probably to a second cycle of it starting within the next couple of years.
David Bank - RBC Capital Markets, LLC, Research Division: Okay. So are we -- we're not expecting any sort of major step-ups for the remaining -- off of this run rate for the remainder of this fiscal year?
Chase Carey: For this fiscal, we have some deals to do. I mean we're always going to have them, and I think they're probably rarely a year we don't have deals to do. So that group is always busy at Christmas times, they don't plan Christmas holidays.
Operator: And that comes from the line of Jessica Reif Cohen, Bank of America.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I guess going back to the balance sheet. John, you mentioned you have so much cash on hand and now that News Corp. is spun -- the new News Corp. is spun, that money settled. I guess, can you update us, John or Chase, a bit what your priorities are in terms of uses of capital? And what is preventing you from buying in the balance of Sky D, like, why wait?
Chase Carey: Well, again, I think we've said with our priorities, they're a combination of sort of investing in our existing businesses to grow them opportunistically. Certainly, the channels are growing right now, and I think they're an example of that. Returning capital to shareholders and we've committed to the $4 billion that we're going to buy back this year, and as John said, we're on track with that. And I think of being opportunistic. We, I think, have acknowledged this still leaves us with a liquid balance sheet, but it's something we'll continue to address and as we run through this buyback, see where we are as we get sort of later in the fiscal year and determine what makes sense from there. I think this is a business in a world that's moving quickly enough that you want to make these judgments as you go along as opposed to locking yourself into straitjackets that may preclude making smart decisions. I think in terms of Sky D, look, we flat out -- we just -- we're pleased with where we are. Our focus is in growing that business, and we feel great about the business. Again, they just reported today, and I think it was really very much maintaining the momentum they've had in that business. But we're comfortable where we are and we'll do what makes sense as we go forward.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Could I just ask a quick follow-up in terms of cost? What is the timing of Fox Sports 2? And will there be a significant impact on cost?
Chase Carey: No, I think the focus has been -- the focus is really Fox Sports 1 and FXX, they're certainly the short-term focuses. I think, FS 2, we want to be as successful as it can, but really the -- I think, that said, the priorities are FS 1 and FXX, and that's shortchanging FS 2, Fox Sports 2. But I think FS 2 is more to give us flexibility as we build out the sports channels at times. It's helpful to have 2 channels to -- where you play events and where you move. And I think we wanted to get the lineup set right. We had a handful of channels that we thought we could do something more with, FUEL, FOX Soccer, Speed. And we wanted to get those channels in place for long-term growth. That being said, I think the focus will be on the bigger channels and FS 2 will follow sort of behind FS 1.
Operator: That comes from the line of Todd Juenger with Sanford Bernstein.
Todd Juenger - Sanford C. Bernstein & Co., LLC., Research Division: Just wanted to explore quickly a little bit on the revenue side of the domestic cable network, rebranded networks. I know it's a long-term process. You're only a couple of months into it, but one thing that sticks out to me is you got a lot more households at networks like Fox Sports 1 and FXX and yet if you compare that to your affiliate fee growth of 10% year-over-year, which you attribute mostly to pricing at some of the big more established networks, just wondered how you can walk us through the math of how those -- all those new households will eventually contribute to that growth and just how the shape of that grows over time.
Chase Carey: I mean, again, if you go back to the 2 channels, you talked of 2 new channels, essentially FXX and FS 1, what they really were was converting channels that were in place with agreements in place for distribution. And we will -- as we go forward and we have -- we've obviously done it with some, but the majority is still to come. But over the next couple of years, we will -- we have agreements coming up essentially, these agreements come up with, really, all our major distributors, and we will look to reset agreements to reflect the fair value of the channels that we have in place.
Operator: Next question comes from the line of Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: I just had some boring numbers question. Do you, any chance, have the domestic cable network ad growth x FOX News? And noted that it was down year-over-year on political comps.
Chase Carey: I guess it'd be a touch -- a bit higher. It's below the average, I don't know. I bet probably can't do a weighted average off the top of my head.
John P. Nallen: I'd say just a touch higher, Doug, is where it would be.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: All right. Another question along those lines. TV stations, I think you said broadcast overall was flat. I was just curious if you could tell us what TV stations' advertising performance was in the quarter?
John P. Nallen: Well, obviously, it was impacted by politicals year-on-year. It was a very big political year, a year ago versus now. But the base markets were up when you take political and Olympics out, so we would have participated as in the growth of the base markets ad.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: I don't suppose you the know what the political ad comp was for the quarter off hand.
Chase Carey: I think, I mean -- I know what -- I think, all in, with politicals, I think they were down, the markets were down like high-single digits. I think, with politicals and Olympics out, they were up. If you take the Olympics on a market basis as well, they were sort of up mid-single digits. So that was the magnitude of the market impact.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: And then last one for you, this is the first time I've seen you sort of break out international drivers between non-sports and sports. Any chance you can give us a sense of how big the non-sports networks are in total versus the sports network for either revenue or EBITDA so we can sort of gauge those trends separately?
John P. Nallen: It's probably easier to go the other way, which is -- I think this will anniversary some time in the second quarter, which is why we separated it out because this year, we have all these brand-new sports networks. But in total, we probably had somewhere around $130 million of revenue from the sports networks this year as against really those sports networks not existing a year ago.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Got it. And any chance you'd give a similar driver on the EBITDA side?
John P. Nallen: I don't think they're that...
Chase Carey: No, they're not that material in the EBITDA because there are a couple that are still in the startup phase, Japan, Italy and a couple that are -- more properly [ph] said, the EBITDA number is positive, but not that significant.
Operator: That comes from the line of Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: John, I just wanted to confirm on the amortization on Sky D that, that was a couple of pennies this quarter, the sort of catch-up. I think you said it was $100 million versus a $30 million normal. Is that accurate?
John P. Nallen: Ben, when you work through everything, tax effect, minority interest, it's $0.01.
Benjamin Swinburne - Morgan Stanley, Research Division: Okay. But the $100 million and the $30 million are right, the $100 million in this quarter and $30 million on a run rate going forward?
John P. Nallen: That's correct.
Benjamin Swinburne - Morgan Stanley, Research Division: Okay, got it. And then you gave that really nice schedule of revenue growth by component when you reported 20% affiliate revenue growth for the company. Obviously, that includes some of the new acquired networks or newly consolidated networks. Do you have any sort of clean growth rate for the quarter by any chance?
John P. Nallen: I mean, you mean just... You're talking about affiliates?
Benjamin Swinburne - Morgan Stanley, Research Division: Yes. It's the biggest...
John P. Nallen: Yes, I think that the way to look at it is affiliates -- as I said, affiliates without sports, because sports are brand new, there's no comp, affiliate international is up roughly 20%.
Chase Carey: And it wouldn't be that meaningful to the U.S. because the U.S., by and large, were more converse since the networks that we'll get -- there's some resetting, but again the majority will get reset over the coming couple of years.
Benjamin Swinburne - Morgan Stanley, Research Division: Yes. And lastly, just on SKY Italia, Chase, I mean subs flattened. Are we maybe near the bottom here on the sort of top line challenges that, that business has had? Do you think we can start to see ARPU and subscriber growth, I'm almost afraid to say it out loud, but some time over the next 3 to 4 quarters?
Chase Carey: I don't know what the -- I mean, I hope so. I mean, I think we believe that. Like we said, our goal for SKY Italia this year was really to stabilize it. I think that's on track. I think there are a number of things in terms of getting on top of the numbers like churn and the like that we feel good about. I mean, the economy is still really shaky. I don't want to get too far out in front of ourselves on projecting how that turns. We are making headway on the costs. We've got a couple of significant contracts we are winding our way out of that will help us on the cost level going forward. So I think all our plans are on track, and I think we've got some nice traction. In terms of some of the initiatives we put in place, it does feel like we're stabilizing that business. And certainly, as we look at probably over the next year to 2 as opposed to quarter to 2, I mean, again, I think for this year what we were looking to do was really stabilize the business and I think return to growth as we go past this fiscal year. So I guess, I'm probably talking more in years than quarters, I mean, quarters get a little micro to be talking about that business. But I think still our plan would be to say we're stabilizing it this year, putting good things in place that can sort of have it and getting on top of the costs that will enable us both from top line, subscribers, and bottom line, return to growth. The potential we still believe is there, even -- and that is not assuming the economy is going to give us any tailwinds. That's assuming the economy certainly for the next couple of years is going to continue to be pretty challenging. We hope it gets better, but that's what we plan.
Operator: Comes from the line of Alexia Quadrani with JP Morgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Just following up on your commentary on the FOX Network. Can you give us some color on how your general entertainment shows are doing versus your expectation sort of the upfront sales. And I guess any -- are any shortfalls meaningful enough at this point that we should think about them in terms of impacting the advertising revs going forward in the coming quarters?
Chase Carey: No, I mean, first on the latter, I mean, it's really early in the year. As we said, we really have tried to move strategically in how we approach the network, so we've launched a handful of shows. We've got a lot of shows in front of us. It's still early. Even shows like X Factor, it's been disappointing to date, but we'll see where it comes back out of the World Series preemptions. So as I said, I mean, it's been a bit mixed. And we've had some places that we have some upside, like sports, and some of the new shows have done well. And some of the returning shows have been disappointing. But it is a mixed bag, and at this point, we still feel we're on course to hit the targets we've got. But we've got a lot of things, a lot of events in front of us to go forward with.
Operator: Comes from the line of Michael Nathanson of MoffettNathanson.
Robert Fishman: It's Robert on for Michael. Can you talk about the FX Now app? Given that you have a lot of content spread across the web, do you expect to pull back any of your FX shows to make it more exclusive to your own service? And has this app been contemplated in your previous affiliate negotiations? And just lastly, did the launch of FX Now change your thought process on signing any future SVOD deals?
Chase Carey: What I'd say about FX, which really probably is really not unique to FX, it's true about any of our networks. I mean what is clear is you're moving from up -- the world's moving from a place where the linear network experience is just 1 part of the viewer experience, and we want to have a brand on top of that network that enables viewers to watch that programming, again, in the proverbial when they want, where they want and how they want. And I think increasingly, we feel it's tremendously important for us for all our networks to have the ability to deliver that experience to consumers, build business models around it with distributors and ourselves that enable us to deliver on that experience and deal with -- continue to still deal with the SVOD market, which is an important part of our overall business, but create the right lines for where our content resides and how people find it. And I think it's important that we create the appropriate -- that our networks have an appropriate distinction and are able to distinguish themselves by the product they control and what they control and how they present it. So it is certainly an area that's important to us. And we'll be spending more time on it, but it's not unique to FX.
Operator: And that comes from the line of John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: Chase, for the past few quarters you've highlighted strength in, I think, both Latin America and Asia Pacific [ph]. Some of the headlines that have come out of those regions, are you seeing any kind of headwinds outside of currency?
Chase Carey: For those regions, no, actually, if anything, Latin America has probably been a little better. I think Asia has been pretty much where we expected it. I mean, the regions I said that we still see headwinds are -- is southern Europe. But they'll always ebb and flow when you get to individual countries. But by and large, I think those places -- those regions, Asia and Latin America, have been -- we've been okay. They ebb and flow a bit, but if anything, again, I'd say Latin America, particularly probably, is more an ebb up in the last few months than down.
Operator: That comes from the line of Michael Morris with Guggenheim.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: My question is around understanding the timing and progression of the investment in the new channels. You called out or you highlighted 2/3 of the expense increase was attributable to the net costs associated with the launches, and I think that, that seems like it's in the neighborhood of $200 million to $225 million in the quarter. I think we've been expecting something in the mid-200s for net investment for the year. So are we right there, in that a significant portion of the full year investment was done in the first quarter on a net basis? And then also, looking into 2015, can you kind of remind us what the net investment looks like there given the shift of baseball in particular?
Chase Carey: I'm not sure we shifted baseball. So I mean, I'm not sure what you mean by the shift in baseball but...
Michael C. Morris - Guggenheim Securities, LLC, Research Division: The baseball costs at Fox Sports 1.
Chase Carey: Yes. I think when we've talked, that was -- I think we had those -- that -- those rights in place, so I think when we -- what we described before baseball is not a shift from what we described before. So that when I talked in August, I know the baseball agreements were in place, so what we've been discussing reflects the agreements we've got in place. I mean, first, we're pretty much on track with what we planned for these networks. Again, what we sort of said was over the next 2 years, and that's really the investment spend and then it becomes positive in '16, fiscal '16. It's, in aggregate, over the 2 years, $400 million to $500 million, $200 million-plus in each year, probably a little bit actually heavier in '15 than '14, but $200 million-plus, and we're pretty much on track. And I think, John gave a number for the new networks in the quarter. This quarter, that was about $50 million.
John P. Nallen: Right. The swing was $50 million.
Chase Carey: Yes. The swing was $50 million. So I mean, again, they didn't -- the FX didn't launch -- FXX didn't launch until September and FOX Sports 1 was late October. But right now, we're essentially on track with what we planned for those. I mean, as John said, there were -- there were a couple of other things that occurred the quarter beyond the launches of the 2 channels that adversely affected the comparison.
John P. Nallen: And I'd add, as you dig into those numbers, the expense increases overall for the segment, so you would have a not insignificant increase relating to all those new sports networks that we just covered, EMM, ESS, Japan, Italy, et cetera.
Chase Carey: Yes. I was talking to domestic. The $200 million-plus was worldwide, but the $50 million we are talking to domestic, the domestic 2 startups.
Operator: Comes from the line of Alan Gould with Evercore.
Alan S. Gould - Evercore Partners Inc., Research Division: Just a follow-up on the cable networks. So we had $50 million of, call it, $200 million-plus this quarter, is it going to roll in about $50 million a quarter? And secondly, your other line was a minus $122 million, is that basically the corporate overhead? And is that a good run rate for the year?
John P. Nallen: I'll cover the second one, which is it's mainly the corporate overhead, but it also includes the intercompany profit elim, which runs heavier in the first quarter because of product moving among the divisions. So I think if you go back to the Investor Day, we indicated we expected the run rate of the segment for the year to be around $400 million, and that's about where we think it should be for the year. And on the first one, just to clarify, what we said is that our expectation is to incur, during the year, net investment of $200 million in the launches of the channels. The impact of that, the $50 million impact we covered is the year-on-year impact of the domestic channels, having the group of channels Chase referred to before against having FS 1 and FX, and that's the $50 million. So we're right on -- as Chase indicated. We're right on plan against all those numbers as we stand right now.
Chase Carey: Yes. And I don't think we want to get too granular on quarter-to-quarter. I mean, in general, it's sort of proportional [ph], but there will always ebbs and flows based on -- particularly as you get into rights and launches, which is just the nature of the business. As we said even our established channel, FX, launched a couple of big originals in the third quarter and that created a year-on-year variance there so -- or spending variance. So generally, that's the case, and it is also included in the business as a whole, with the effect on the top line as we go through distribution agreements.
Operator: And that comes from Vijay Janes (sic) [Jayant] with International Strategy & Investment Group.
Vijay A. Jayant - ISI Group Inc., Research Division: A question on Hulu. Given you guys have -- your partners and yourself put in $750 million in this new leadership. Do you sort of foresee this asset transforming into something else? And sort of the catch-up TV it is and really bringing it to the forefront with respect to valuation of Netflix, how could this asset with the best program within the business really be monetized?
Chase Carey: Yes, I mean, I guess -- I mean, I think, in general, I'm going to probably let the management of Hulu speak to the plans for Hulu. Obviously, we believe in it. We've made a significant investment in it going forward. We think there are real opportunities in this -- in the digital space to both create something that can be a real positive for us for sort of the existing distribution ecosystem, as well as a platform that competes with -- in its own way, with the Netflix and the like of the world in creating an alternative in that digital space. The management has only -- Mike Hopkins has only be in place for a week or 2. But I think he'll -- probably, we'll let him be the one who describes how that strategy rolls out.
Operator: Comes from the line of Vasily Karasyov with Sterne Agee.
Vasily Karasyov - Sterne Agee & Leach Inc., Research Division: My question is on the international networks. Is southern Europe still getting worse? Some of your peers said that it was a drag early in the year, but now sort of bottoming out. And then another question I had, some of your peers, again, found a way to fight that slump in Europe by converting channels into free-to-air and accelerating advertising growth. Not that your growth is anemic by any means, but is that a strategy that does not fit your assets you think? Or if you could give us an idea how you think about that, please.
Chase Carey: I guess I'd say -- I mean, certainly, southern Europe, whether it's sort of -- I guess you can say maybe it's -- whether it's bottomed out, it certainly is tracking below where it still was a year ago. So in our international segment, Southern Europe is a drag on a year-on-year comparison. I think it's -- I don't think it's necessarily getting worse, but it's still not where we'd like it to be. I think, for us -- look, we compete aggressively on all fronts. We actually have a free-to-air vehicle in Italy. So we want to be opportunistic. That being said, I think we are generally much more a believer in sort of long-term values created through revenues with dual -- through businesses with dual-revenue streams. And I think that would be the -- continue to be the core of what we focus on. I don't think you ever sort of say -- never say never to anything. And again, if there's a place to do that, that makes sense, we'd look at it. But I think, by and large, we believe the dual-revenue business model is the right one to really build long-term value.
Operator: Comes from the line of Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: I have 2 questions. The first is what is your appetite for additional TV station assets, particularly in NFC markets? And the second question is, how do you think about cable consolidation? Would this put downward pressure on affiliate fees over time? Any comments you could make?
Chase Carey: I mean, first, there aren't a lot of NFC markets we're not in, so that's a pretty finite world. I mean, we have a pretty full station group. I think we'll always be opportunistic, but I don't think you can say that it's a strategy when there's only a couple of markets we're not in. So I think if there's something that makes sense, we'll always look at it. But by and large, we're pretty pleased with the station growth. Though, as we did in Charlotte, if there's an opportunity to do something that we think creates value for us, we want to be opportunistic. In terms of consolidation, look, I think you're in a world where you're probably going to have a degree of consolidation. Scale is going to matter. Large players are going to get larger, we are. We're launching new networks to be able to expand our content. I think we're pretty comfortable with our ability to meet our goals and to navigate this space and believe we have enough wind at our back and do believe content still is the place to be in a digital world that is -- as much as there is -- as fast as there's consolidation, there seem to be new buyers. So I think we probably would not be surprised if there is consolidation, but I don't think it changes our expectations or plans or confidence in our ability to execute our plans.
Operator: That question comes from the line with Jason Bazinet with Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: I have a broader question about the studio for Mr. Carey. The studio business seems to go through these sort of multi-decade runs, where people focus on sort of lower-budget films and then they move towards tent-poles and then back towards lower-budget films. Are we seeming to be sort of in the, I don't know, sixth or seventh year of everyone in the industry sort of pursuing in tent-poles. Do we think we're in a new era now and this is just the studio model that will exist? Or do you anticipate there's going to be another shift where people go back...
Chase Carey: I mean, I guess, everybody always tries to sort of look at film business and draw sort of -- draw conclusions about sort of the -- about trends and how films are being made. I mean I think, realistically, you try and make great films, and some of those are less expensive, some of those are more. I think you'd be realistic about the business you're in. So the last 3 to 4 years is that -- 5 years, the home entertainment market shifted. You got to be realistic about how you approach and what you invest in and how you navigate a business that, obviously, is a complicated one to navigate. But I think the minute that you start believing there are formulas for sort of what types of films to make, I think you probably are putting yourself in a corner. So I think you continue to look for great films. Some of those will be the low end, some of them the high end, some of them in the middle. And we've got a couple of big films next year we're very excited about. We've got -- we had a film this year on the other end like The Heat, which was great for us. So I think those sort of conclusions or judgments are really not how you manage the business by filling up -- putting -- trying to fill up slots.
Operator: That comes from the line of Dan Salmon with BMO Capital Markets.
Daniel Salmon - BMO Capital Markets U.S.: I'll stick with a couple of digital questions, too. The -- I'll switch to the FOX NOW app. And just maybe any early takes on any figures you can provide, maybe like number of downloads and whatnot as you've been promoting catching up on Sleepy Hollow on it and the type of behavior that you're seeing from viewers on it? And then just as a second one, I believe you guys partnered up with Twitter on their new Amplify product to do some promotions around the new fall season and just interested how that early test worked.
Chase Carey: We feel -- I mean, it's difficult to sort of go through them one by one because it's a -- in many ways, we've got a blur of activity. As I said, what is clear, whether it's FOX or FX or Sports or News for that matter, we're clearly moving very quickly into a multidimensional world, a multi-platform world and people accessing that content in different shapes and forms and want to have an ability to create experiences around that content, and we've got to meet that. And actually, we feel good. We -- on the FOX Network, we've had a position of leadership in the sort of social networking space really for a period of time now. We want to build on that. We think things like -- some of the relationships we touched on are exciting additions to that but, by and large, it is important for us to continue to provide abilities for our consumers and in some ways, our distributors, the right business relationships to deliver new and exciting experiences to consumers.
Operator: Comes from the line of James Dix from the Wedbush Securities.
James G. Dix - Wedbush Securities Inc., Research Division: Just 2 for you. You mentioned earlier your sale of 2 seasons of New Girl to Netflix. Just wondering, more broadly, how we should be thinking about the SVOD revenue line. Is that kind of a $300 million to $400 million figure, all in, which is growing a little bit this year? Or are there any more step-function changes in that, that we could be looking for? And then just secondly, wanted to know kind of what your view is on reverse compensation going forward as part of that fee line going into the TV stations? Do you think there's some misallocation or disconnect between the share of value which is going to affiliates and how much is being contributed by the network programming that's going to be caught up? Or is most of the growth just going to be catching up with the basic retrans that is going on industry-wide?
Chase Carey: What's the first part of the question?
James G. Dix - Wedbush Securities Inc., Research Division: Just the SVOD.
Chase Carey: Oh, the SVOD. Yes, I think the SVOD -- I mean, look, it's a significant -- certainly, it's an important business for us. We're actively engaged in it. I think, this year, we're probably expecting it to be sort of reasonably flat year-on-year. But that being said, that's sort of -- it's one we don't want to get in front of ourselves projecting. There's a lot of discussions going on, on product that's not in those projections. This -- I mean, in many ways, SVOD is part of a larger -- sort of the larger digital space. So I don't think you want to sort of define it too narrowly in terms of the appetite for our product in these digital platforms. It is one we continue to aggressively pursue certainly internationally. It's probably an area -- it is in earlier-growth stages as the number of countries are just -- the number of the players are just moving into. But I think you're going to continue to see players in this, and we're obviously going to be part of it from different directions, as people talk about FOX NOW or FX, On Demand, and all of that becomes part of this digital experience. And how do you monetize it? Both through subscriptions and advertising and sales. And we're going to participate in all fronts. I mean, the pure SVOD revenues, again, for the current year will be -- I think are reasonably flat year-on-year for us. But there are a lot of discussions going on that aren't necessarily reflected in those, and it's an area, in general, which I guess I'd say the digital platforms delivering a richer content experience that we expect to be a real area of growth for us as we go forward the next few years.
James G. Dix - Wedbush Securities Inc., Research Division: And just a second one, just to simplify it, do you think the share that the networks are contributing of the value that is being paid in retrans has been going up over the past couple of years? Is that going to be one of the dynamics of the reverse compensation growth going forward?
Chase Carey: Reverse compensation, you mean from our affiliates to us?
James G. Dix - Wedbush Securities Inc., Research Division: Exactly, right.
Chase Carey: Yes. I mean, certainly, the reverse compensation is an important part of our overall broadcast business. It's -- we're investing a lot in content that is still the most important content out there, and it's important for us to receive fair value. We greatly value our relationship with our affiliates. It's a partnership that has been good for all of us. But we need to have business models that enable us to generate that dual revenue, whether it's directly through our O&Os and retransmission or reverse comp through affiliate relationships that enable all of us to be successful. We obviously want successful affiliates. We want them to grow and be successful and be able to fulfill that partnership with sort of great local programming, with event national programming. And that's the goal we have. But as part of that, we do need to -- we need the reverse compensation component of it to be important. We think the value of our broadcast signal to everybody who deals with it is probably still undervalued competitively any way you look at it in the marketplace today. The importance of that content and the viewership of it still clearly is not reflected in what we get. But we've tried to approach it in a constructive way that starts to recognize that value and move it in the right direction.
Operator: And that comes from the line of Barton Crockett, SDR (sic) [FBR] Capital Markets.
Barton E. Crockett - FBR Capital Markets & Co., Research Division: I was curious about your cash spend on share repurchase which is settled into this nice healthy pace of $4 billion or so a year? Clearly, you can afford to do more. What would it take to get you guys to step that up? And why don't you do more to kind of move closer to the leverage targets that you could support there at the company?
Chase Carey: We -- we're not going to get into hypotheticals. We think this is a meaningful return of capital at this point in time, and it is what we felt was appropriate for this year as we move towards -- so as we move towards the end of the year, we'll see what makes sense for us going forward. I don't know if it answers it or not.
Reed Nolte: Thank you, everybody, for joining today's call. If you have any further questions, please call me or Joe Dorrego here in New York. Thank you.
Operator: Ladies and gentlemen, that does conclude today's conference. Today's conference will be available for replay starting today at 7:00 p.m. Eastern and going through November 18 at midnight. The AT&T replay dial-in number is 1 (800) 475-6701 with the access code 304511. International participants may dial into the United States (320) 365-3844. That does conclude today's conference. I want to thank you for your participation. You may now disconnect.